Operator: Greetings, and welcome to the Alteryx Second Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is recorded. It is now my pleasure to introduce your host, Ryan Goodman, Head of Investor Relations. Thank you, Ryan. You may begin.
Ryan Goodman: Thank you, operator. Good afternoon, and thank you for joining us today for Alteryx's second quarter 2023 earnings conference call. I'm Ryan Goodman, Alteryx's Head of Investor Relations. With me on the call today are Mark Anderson, Chief Executive Officer; and Kevin Rubin, Chief Financial Officer. Additionally, Paula Hansen, our President and Chief Revenue Officer; and Suresh Vittal, our Chief Product Officer, will be joining us for the question-and-answer session after prepared remarks. This afternoon, we issued a press release announcing our results for the second quarter ended June 30, 2023, as well as our shareholder letter with key metrics and commentary on the results. If you would like a copy of the release and shareholder letter, you can access both online at our Investor Relations website. During this call, we will make forward-looking statements related to our business, including statements about our financial guidance for the third quarter and full year 2023. These statements are not guarantees of future performance. They are subject to a variety of risks and uncertainties, some of which are beyond our control. Our actual results could differ materially from expectations reflected in any forward-looking statement. For a discussion of additional forward-looking statements made during this call and the material risks and other important factors that could affect our actual results, please refer to our SEC filings available on the SEC's website and our Investor Relations website as well as the risks and other important factors discussed in today's earnings release. Additionally, non-GAAP financial measures will be discussed on today's call. A reconciliation of these measures to their most directly comparable GAAP financial measures can be found in today's earnings release. With that, I'd like to turn the call over to our Chief Executive Officer, Mark Anderson.
Mark Anderson : Thank you, Ryan, and thank you all for joining us today. We delivered Q2 revenue of $188 million, up 4% year-over-year and non-GAAP operating loss of $30 million, both better than our guided range. However, annualized recurring revenue, or ARR came in at $890 million, up 22% year-over-year, below our guided range. While we exceeded our outlook on both revenue and non-GAAP operating loss, our Q2 financial results fell short of our expectations. We've taken swift action to identify areas for improvement as well as opportunities to enhance execution going forward, and I'll discuss some of these initiatives underway shortly. But first, I'd like to start with what's most important to our customers, which is our product innovation momentum, specifically generative AI and cloud connected experiences as well as other Q2 highlights. First, aiming our broad set of generative AI technologies that we are infusing throughout our platform. We introduced new generative AI offerings that we believe will enable our customers to significantly accelerate and scale data analytics throughout their organization with proper governance and security. Second, cloud connected experiences with cloud execution for desktop, Designer users can now publish workflows to the cloud, bringing the ubiquity of the cloud to Alteryx workflows. Third, customer commitment remains high. We saw a robust customer retention and engagement metrics again in Q2 as customers continue to leverage our unique platform to scale analytic enablement across the employee base. Customers everywhere are using Alteryx to tighten their belts and to do more with less. Fourth, we're seeing positive international booking trends in both Europe and Asia, important pillars of our growing global business. And fifth, we continue to see strong success with large enterprise organizations. Our Global 2000 penetration came in at 48%, up two points year-over-year with a steady net expansion rate of 131%. We are at a pivotal moment in this market. Transformative technologies like generative AI create enormous opportunities. These technologies have the potential to change how companies operate how they analyze data and how they win. Alteryx is uniquely positioned as the data analytics orchestration layer at the heart of it all. This is how we've won for years, abstracting an increasingly complex data ecosystem with easy to learn, easy to use solutions, enabling our customers to scale data analytics across the enterprise. With AiDIN, we believe we are well on our path to reinforcing this differentiated market position in the era of generative AI. Now, let's take a moment to discuss the Q2 performance and what we need to do better. While we had incorporated a tougher macro into our Q2 guidance, we encountered a pronounced change in customer buying behavior in the last two weeks of the quarter. This was especially apparent with larger customer expansion projects outside of the normal renewal cycle. As a result, many large customer upsell opportunities to which we thought we had clear line of sight ultimately pushed out of the quarter or closed with a reduced size. We recognize that we need to improve our execution on deals like these, particularly in North America. These are significant opportunities, and they require a higher level of engagement and diligence in the current macro backdrop. We're implementing a significantly higher regimen of dual scrutiny and disciplined going forward, plus enhancing sales enablement, which should, in turn, improve our pipeline quality and conversion rates. We're also focused on identifying higher probability win opportunities with a strategy more attuned to the current macro. This is absolutely key to driving improvements in our sales productivity. The business has grown substantially in the last couple of years. The market is moving quickly, and there will be learning's along the way. I've led teams through several economic cycles at both the executive and board level. I found the one consistency in times like this is that they create opportunities to adapt the business model and strengthen execution. With that in mind, we've identified several opportunities to improve operationally. First, we've made some key leadership changes within our sales organization. We have an exceptional team, and it's important to make sure we continue to have proper stage experiences for each leg of the journey ahead. To that end, we are bringing in new sales leaders for North America sales as well as our partner and alliances team, both reporting to our President and CRO, Paula Hansen. These two new leaders will have the unique opportunity to rent together and be very aligned on process and productivity improvements to meet at this moment. Second, we are driving improved sales linearity within the quarter and are also incorporating additional deal scrutiny into the sales process, given our increasing enterprise traction and expanding average new booking deal size, these efforts are key and should meaningfully improve our visibility and results. Third, we are redoubling our focus on sales enablement to accelerate the path to higher productivity. This includes additional coaching and training on how to navigate deals in the current economic environment. And finally, we are implementing additional cost-saving initiatives across the business with an agile business model in which we can quickly adapt spending, and we are committed to upholding profitability, as we work to improve our sales execution. It has never been more important to have a customer-centric mindset. Our customers depend on the Alteryx Analytics platform to better understand their data and to drive more informed mission-critical business decisions. Our telemetry data shows robust engagement for activated users across the Alteryx analytics platform. Designer workflows are trending towards increased complexity and automation with approximately 65% of workflow runs now automated. We believe this indicates a higher level of repeatable value add and stronger customer retention. Our customer and partner community enthusiasm was palpable at our recent Inspire user conferences. Over 4,000 attendees joined us at our US Inspire Conference in May and our international tour is well underway across Sydney, Tokyo and London. This elevated level of engagement with our customers gives me confidence that the recent up-sell moderation is cyclical and not structural and that Alteryx remains well positioned for durable, profitable long-term growth. I am a steadfast believer that discipline and focus on strategic initiatives are key to delivering long-term success. While we are focused on improving our sales execution, we are also committed to delivering an unrelenting pace of platform innovation and driving ahead with our go-to-market strategy. I'm incredibly proud of the initiatives we announced in Q2. First, AiDIN, our brand of generative AI and machine learning technologies. This includes new transformative offerings tracking for early availability later this year as well as several offerings in customers' hands today. The first is AI Workbench, which is designed to leverage our data analytics expertise to help our customers responsibly introduce generative AI in large language model into their enterprise. AI Workbench is designed to effectively train these models with their customer data and proper governance and security. Next is Multimodal. This solution facilitates collaboration between multiple personas by different interfaces, including designer, coding or simplified white board. We see this as a meaningful accelerator for our customers in validated democratization journey as it removes barriers between stakeholders and nurtures an unprecedented collaboration experience. We're developing these offerings with input from several Global 2,000 companies and invisible AI Workbench and Multimodal to be monetizable, complementary elements within the platform. Three aiding capabilities are already incorporated into our platform, including Magic Documents, Workflow Summary for Alteryx Designer, and an OpenAI Connector. These are all examples of how we are incorporating generative AI to accelerate the path from data analytics to insights for our customers. We're already seeing signs of interest and early engagement across all three tools. Another key area of innovation focus is cloud, where we had several exciting announcements in Q2. First, Cloud Execution for Desktop, a major step forward in integrating our on-premise and cloud platform environments with which customers can create Workflows in the Desktop Designer and then save, share, and execute those workflows in the cloud. And second, Location Intelligence which introduces visualization and analysis of geospatial data to identify patterns and trends that cannot typically be found within spreadsheets. Cloud is resonating with our current customers with approximately two-thirds of our Q2 cloud wins coming as upsells to existing customers. McLaren Racing, for example, has leveraged Designer across a breadth of use cases ranging from production workflow optimization to social media monitoring to real-time racing analytics. In Q2, McLaren signed on for both Auto Insights and Machine Learning as they look to further abstract analytics for new personas and explore new operational use cases. We're also seeing positive early trends for our cloud ELA with new customers. We signed a cloud ELA with a multibillion-dollar oil and gas customer as they look to automate and optimize their Office of the CFO with a modern cloud-based platform, plus establishing analytical framework for new strategic initiatives. We had a cloud-driven win with a leading provider of online real estate marketplaces, Information and Analytics. This customer will leverage Alteryx to automate and optimize key data intake processes for real estate industry benchmarking services. The cloud momentum is encouraging and we are excited to soon roll out regional support to handle international data residency requirements for the Alteryx Analytics Cloud platform later in Q3. Cloud has become an important underlying pillar of our go-to-market strategy. This has complemented our strategic initiatives around enterprise, partners, and customer success. Our ability to continue to expand within the Global 2000 and with many of our existing large enterprise customers is key to our long-term growth trajectory. As I mentioned earlier, in Q2, we increased our Global 2000 penetration to 48%, up from 46% last year with our strongest ARR growth coming from our largest customers. Our Global 2000 net expansion rate was solid at 131%, with our overall net expansion rate coming in at 120%. We had an inspiring $1 million-plus ARR win with a large non-profit health organization, expanding with Designer and adopting Auto Insights and Machine Learning. This customer's nursing team has created Workflows to track and forecast cold, flu, and COVID trends across its network of hospitals plus optimized PPE inventory and distribution. It's humbling to see Alteryx empowering these frontline workers to actually save lives with their own data. ELAs continue to gain traction with solid year-over-year growth in numbers of POA sold. The [indiscernible] is an excellent example of this, as they signed on for their initial EUA in Q2 of 2022. They since implemented a broad range of use cases driving tangible ROI across multiple lines of business, finance, procurement, IT, digital marketing and more in just one case, a single Alteryx workflow unlocked over $2 million of identifiable value. As they lap the one-year mark in Q2 of this year, they signed on for an expansion to their ELA, more than doubling the size of the original implementation. Partners continue to be a core pillar of our go-to-market strategy, unlocking access to decision-makers and IT and reducing friction in the sales motion. Partners played a role in over 3/4 of our top 20 new logo and expansion deals with key contributions from Presidio, Slalom and EY, among others. With our new leadership, we look forward to working even closer with our partners to build tighter and more consistent engagement programs. We had a great partner supported win with a global property and casualty insurance company. The partner provided training to bring on new personas and hosted working sessions to explore new use cases and opportunities to drive value. This customer ultimately expanded its Alteryx implementation by approximately 7x, with a new ELA as they look to further optimize processes throughout the financial organization and enhance overall corporate governance. In closing, we have an incredible opportunity ahead of this company. Our market position as an analytics orchestrator across an increasingly fragmented data ecosystem is highly differentiated. And the need for data analytics at scale with governance and security is rising. We're delivering on our innovation road map and enhancing our value proposition with new cloud connected experiences and generative AI. We're taking quick and decisive steps to improve certain pockets of our sales execution and diligently calibrating spending to maintain our improving profitability momentum. Most importantly, our customers are demonstrating a strong commitment to Alteryx, near-term environment, notwithstanding [indiscernible] set on the significant addressable market opportunity, and we are positioning this company for long-term durable and profitable growth. With that, I'll turn the call over to Kevin. Kev?
Kevin Rubin: Thanks, Mark. I'll begin today with a closer look at some of the key Q2 financial metrics, and then we'll discuss our philosophy around growth and profitability for the remainder of 2023. First, revenue came in at $188 million, above our guided range. We saw contract duration increase sequentially to approximately 1.5 years, another important indicator of our customers' long-term commitment to Alteryx. The revenue upside, along with strong spending discipline drove non-GAAP operating loss of $30 million, $18 million better than the high end of our guided range. ARR came in at $890 million, up 22% year-over-year, but was below our guided range. While we had incorporated a weaker macro environment in our prior financial outlook, we did not anticipate the significant change in customer buying behavior that we experienced at the end of Q2. And as roughly two-thirds of the business historically lands in month three, with many deals closing in the final weeks of the quarter, the shifting market dynamics were not apparent until very late in June. Our existing customer base provides three key underlying drivers that are each important to sustaining our growth momentum. Customer renewals, expansion upsells at the time of renewal and independent expansions outside of the renewal cycle. We saw healthy trends in both renewals and corresponding upsells. But it was the third element, expansion deals independent of a renewal event where we encountered challenges. In the last two weeks of the quarter, we saw a significant divergence from historical conversion rates in which customers opted to delay or meaningfully reduce new initiatives until the time of renewal. For example, we had over 10 large opportunities, which included both six and seven figure deals outside of the renewal cycle that delayed or closed at less than 50% of our expectation. This dynamic was particularly pronounced in the US region and resulted in a significant year-over-year decline in US bookings. While we attribute the change in part to macro pressures, as Mark described, we are taking measures to quickly adapt and improve our sales execution. In terms of the financial model, we have two clear initiatives for the second half of 2023. First, we're calibrating the business model to preserve our improving profitability momentum which assumes this phase of moderated growth persists through the remainder of the year. And second, we're ensuring key investment areas are well funded to drive the long-term success of the business, including generative AI and cloud. Let's begin with our strategy for balancing growth and profitability over the coming quarters. With the softer macro backdrop persisting into the second half, we are adapting our spending plans to continue on the path to higher profitability. We've highlighted several cost savings initiatives in recent quarters, such as real estate rationalization and optimization of head count in both sales and marketing and G&A. Looking ahead, we will continue to focus cost-saving efforts in these areas. When we decided to meaningfully expand our go-to-market motion in early 2022, we anticipated a very different macro environment. We've since tapered that back as the growth environment has waned. And given what we saw late in Q2, we are initiating additional cost savings initiatives in the second half of the year. This includes elimination of most open positions, scaling back spending, areas of reorganization, additional performance management and headcount reductions. We expect these cost-saving efforts to generate an annualized cost savings of over $30 million. As we closely scrutinize our spending, we've also identified key investment areas that we are committed to. These are areas that present significant opportunities for Alteryx to both differentiate and drive long-term durable growth. The first is generative AI and machine learning. As Mark mentioned, we recently introduced AiDIN, our brand of generative AI and machine learning technologies. We've recently announced several enhancements to the platform that are seeing early user engagement and interest, and we see AiDIN as an opportunity for additional revenue streams in the years ahead. The second is cloud. Our cloud portfolio has now been generally available since February 2023, and we're encouraged with the early traction. We're delivering an incredible pace of innovation here with new offerings like location intelligence as well as incremental cloud-connected capabilities that move to converge our portfolio of offerings. At our Investor Day in May, I presented our long-term model for 25% to 30% non-GAAP operating margins by FY 2028. Our framework to achieving this model is through 3 to 4 points of margin expansion per year, and this assumes we maintain 20% plus of ARR growth per year. We continue to believe this model is an appropriate long-term balance sheet growth and profitability. In the intermediate term, we are committed to delivering improved profitability in an accelerated rate. In a sense, this is an extension of the actions taken in late 2022 and early 2023, and is incorporated in our plan to improve non-GAAP operating margins by over 6 points in 2023. Looking ahead to 2024 as we capture the full annualized benefits of recent cost-saving initiatives, we expect to drive 5 points plus of margin expansion, which is faster than the long-term framework would suggest. As for growth in the remainder of 2023, we're assuming no improvement in customer buying behavior from what we saw in the last two weeks of Q2. The growth drivers we previously discussed are still in place. We have a record level of Q4 renewal opportunities that provide tangible selling events. We continue to demonstrate strong ELA momentum and have significant upsell opportunities in Q4. We believe our comprehensive portfolio of cloud offering is gaining traction, and we have a ramping sales force supported with an expanded partner ecosystem of the customer success team. And while we continue to see robust customer retention trends, we are taking a much more conservative posture on the pacing and magnitude of upsell and expansion projects not attached to a specific renewal event this year. We believe the business is positioned to deliver progress towards Rule of 40 next year, defined as a combination of ARR growth and non-GAAP operating margin. With this in mind, let's turn to the Q3 2023 outlook. We expect ARR to be in the range of $901 million to $905 million, representing year-over-year growth of 19%. We expect GAAP revenue to be in the range of $208 million to $212 million, representing a year-over-year decline of 4% to 2%. We expect non-GAAP operating profit to be in the range of $2 million to $6 million. We expect non-GAAP net loss per share to be in the range of $0.08 to $0.04. This assumes $71.4 million weighted average shares outstanding and an effective tax rate of 20%. For the full year 2023, we expect ARR to be in the range of $930 million to $940 million, representing growth of 12% to 13%. We expect GAAP revenue to be in the range of $930 million to $940 million, representing a year-over-year growth of 9% to 10%. We expect non-GAAP operating profit to be in the range million of $70 million to $80 million, reflecting additional cost saving initiatives and spending discipline. We expect non-GAAP net profit per share to be in the range of $0.62 to $0.72, which assumes 76.7 million weighted average shares outstanding and an effective tax rate of 20%. In closing, while Q2 did not pan out as we would have expected, we are quickly adapting to the current macro environment. We are executing on multiple strategic initiatives to drive improved sales productivity, enhance our pipeline visibility and position the company for long-term durable, profitable growth. Our robust growth retention and renewal rates demonstrates the value we drive with our customers and their commitments to Alteryx platform. We are supporting our profitability framework with more disciplined cost management, and we expect to deliver an incredible level of platform innovation with a particular focus on generative AI and cloud conversion. We are confident in our ability to capitalize on this significant addressable market opportunity and our ability to achieve our long-term financial model. With that, thank you all for joining us today, and I'll turn the call back to the operator. 
Operator: Thank you. We will now be conducting a question-and-answer session [Operator Instructions] Our first question comes from Tyler Radke with Citi. Please proceed with your question.
Tyler Radke: Yes, good afternoon. Thanks for taking the question. I just wanted to start off on the guidance reductions. So if you look at the inside net new ARR reduction, I think you're taking it down by at least $50 million for the second half, which is pretty substantial. It seems like you didn't see any big changes in renewal rates. I was just hoping if you could unpack that a little bit better. I mean, are you just kind of throwing out the worst-case scenario? Obviously, this was one of the first quarters you actually missed the ARR guide and change in guidance philosophy. Or if you could just help us understand like what's embedded in the guidance because honestly, it seems to be even worse than kind of the dynamics that you saw here in the quarter. Thank you.
Mark Anderson: Yes. Hey, Tyler, it's Mark here. Thanks for the question. I get where you're coming from. I think from our perspective, Q2, as we discussed in the prepared comments, we were surprised at the change in behavior, especially in the last couple of weeks. And so – and we missed ARR, this is the first time I've missed the ARR in 10 quarters, I think maybe a long time. And we don't want to miss. We want to build the business in the second half that is resourced properly for the times that we’re in, and assuming the customer buying behavior persists. Some of these execution changes are going to take some time. And I wanted to be like conservative on a standalone basis to be able to say, we're going to make our Q3 numbers based on our confidence in the deals and the way that we constructed the final number.
Tyler Radke: Great. Thanks for that, Mark, a follow-up just in terms of the reorg that you announced, it seemed like there was a couple pieces to it, one was the cost reductions. I guess. Obviously, you did a reduction for us last quarter. So just talk about kind of roles were eliminated and then secondarily, it sounds like there's more further refinement of the go-to-market under Paula. Just talk about maybe some of the pain points that you discovered over the last couple of quarters and specifically what these new leadership roles are going to replace and kind of the problems you're looking to solve? Thank you.
Mark Anderson: Yes. Tyler, another good question. Listen, I don't think we're alone as an enterprise that's looking in the mirror, and saying, what do we need to look like a year from now when technologies that are going to have an impact on how we run our business like generative AI are going to be in full swing. And so are we doing the things today that we need to do to be able to get to that future state. I think a lot of the headcount expense reduction is going to be in go-to-market. It's in frankly, low-performing territories or organizations that just sort of get consolidated. And there's an organizational impact to a consolidation of people to make sure that we've got proper span and control and whatnot. So I think we're focused on the right things. Paula can drill down if you need any more details.
Paula Hansen : Yes. Hi, Tyler. I think Mark hit on it. We're looking to simplify the organization in some places, make sure that we're doing the right things to continue to drive the transformation and the execution of the strategy efficiently and preparing for the next leg of the journey, which we certainly are interested in preparing for here in the second half and as we go into 2024.
Q - Tyler Radke: Thank you.
Operator: Thank you. Our next question is from Koji Ikeda with Bank of America. Please proceed with your question.
Koji Ikeda : Hey, guys. Hey, Thanks for taking the question. I wanted to ask you a question on kind of the sales disruption out there. And just wanted to be sure, it's -- you called out macro a bunch of times. And I wanted to be sure that it's not a competitive aspect too. There sure is a lot of noise out there from analytics competitors and the LLM vendors out there. So you did call out macro, but not a lot from the competitive. I just wanted to kind of get your thoughts on the competition? And is that maybe filling a factor into the elongated sales and push cycles? Thank you.
Paula Hansen : Hi, Koji, it's Paula. I'll take that one. We don't feel it's competitive. Our customers are still really highly engaged in our discussions relative to their analytics maturity. We still saw high levels of renewals and expansions within those renewals. We aren't really hearing anything that suggests a shift in the competitive dynamic. No change to the number of RFPs out in the market. That's always been a small percentage of our volume. So it feels fairly consistent competitively quarter-on-quarter, and really, it's just adjusting to the macro and doubling down on our execution.
Mark Anderson: Yes. I'll also say, Koji, the four of us here travel a lot and visit with the customers. And so our customer perspective is based on face-to-face oftentimes, sometimes computer screen to computer screen interaction with customers, and we're hearing that they want help and they're in a rush to digitally transform, but they just can't wave a magic on. And I think, in particular, some of the deals that we worked on that ended up pushing that were in attached to a renewal. Some of these deals will just happen in another couple of quarters. There'll still be big numbers because customers really need to automate and digitize.
Suresh Vittal: Koji, the product telemetry also -- this is Suresh. The product elementary also shows a high degree of engagement with the platform. Over 70% of our customers activate within the first 30 days. Over 65% automate workflows. We've doubled the number of customers connecting to different -- multiple databases inside of Workflow. Mark talked in the prepared remarks about engagement with our generative -- new generative AI capabilities. We saw about 35% of our Auto Insights customers using our generative AI capability. So, we continue to see a high degree of engagement with the platform with the kinds of workflows we help them build and execute against.
Koji Ikeda: Got it. And just one follow-up maybe for Kevin. Looking at the framework here, the 2023 framework and beyond into -- the 2020 framework that you presented at the Investor Day, you did mention operating margins are somewhat 10% to 20% ARR growth. And Kevin, I did appreciate the comment on the five points of margin expansion -- or five points plus a margin expansion for 2024. But what about beyond that? And just really thinking about if the demand environment has changed and that 20% plus ARR growth is not achievable, should we still assume that you guys are going to push forward and try and achieve that operating margin target for 2028, or maybe does that get pushed out by several years?
Kevin Rubin: Yes. Thanks, Koji. So, I appreciate you calling out my comments in the prepared remarks. So, look, we still believe very confidently that this is a very large opportunity, the TAM is large, and we have a very low penetration into a very large opportunity. So, what we're seeing here in the intermediate term is what it is, and we're guiding to an acceleration in the profitability framework as a result. But over the longer term, we would expect that as growth resumes, that we would be in that three to four points of leverage that we talked to at the Investor Day. But if not, then you should expect us to continue to appropriately balance growth and profitability as a result.
Koji Ikeda: Thanks Kevin. Thank you for taking the questions.
Kevin Rubin: Thanks, Koji
Mark Anderson: Thanks, Koji.
Operator: Thank you. Our next question has been Derrick Wood with TD Cowen. Please proceed with your question.
Derrick Wood: Thanks. Kevin, I'll kind of dovetail off that question. It seems like you're implying kind of a 13% operating margin in 2024. And you mentioned that you'll be trending towards rule of 40. I suspect you're not expecting ARR growth to be in the mid-20s next year. But just curious what that comment kind of -- how that -- how we should take that comment and think about kind of a base level of starting point of revenue growth in 2024, specifically, if the environment stays where it is?
Kevin Rubin: Yes. Thanks Derek. I appreciate the question. No, I was not trying to signal that we would be a rule of 40 next year. It was really a tag-along comment to the five points plus margin expansion that if we don't see appropriate levels of growth relative to the long-term target that we put out there, that we would be seeking to drive an acceleration in operating margin as a result.
Derrick Wood: Okay. Too early to give guidance on top line there. So, Mark or Paula, I guess, I mean a few things coming to mind in terms of like, what could be the underlying root cause that I wanted to tease out. You already addressed competition, but I guess, I’d start with like cloud and then just pricing and I mean you guys are still kind of selling mostly on-prem licenses. I’m just wondering, if you feel like there is more budget constraints there than cloud and you’re just still so early with their cloud offerings. May be that’s an element out there. And then pricing, I think when COVID hit, pricing became a little bit more reflection point. Is that coming up in terms of more scrutiny? And any changing thoughts on pricing go to market? Just was hoping to tease out those two things.
Paula Hansen: Sure, Derrick, I'll take that. So, I don't feel as though cloud is having any impact on the results that we delivered, we are very clear with our customers that it's an end strategy that will go whatever direction they want to go, depending on where they are in their cloud journey. And a lot of our customers are doing both with us right now. So, I don't think that's a factor here. Relative to pricing, of course, like everybody, there were a little bit more scrutiny from customers negotiating and lots of sort of budget envelopes that that people were working towards. But I don't think that it's manifesting itself in major pricing changes that we need to make. And we've been pretty successfully reducing discounts for the last six, seven quarters in a row, which feels like the market supports it and that customers are still seeing the opportunity and the value in our solutions.
Derrick Wood: Okay. Thank you.
Mark Anderson: Thanks, Derrick.
Operator: Thank you. Our next question is from Joel Fishbein with Truist Securities. Please proceed with your question.
Joel Fishbein: Thanks for taking my questions. I have a two parter as well. First one, I guess, for you, Paula, are you seeing any unwanted sales attrition as it relates to some of the woes that are going on? And the second one is, I would love to hear about [indiscernible] and Databricks partnerships and when we could potentially see some revenue from those? That would be really helpful. Thanks.
Paula Hansen: Sure. Thanks, Joel. We actually have not experienced any increase in sales attrition. It sort of remains at a pretty low level right now. Certainly, since in the nine quarters that I've been here, it's one of the lowest levels. Relative to our partnerships with Snowflake and Databricks, really excited with the progress on the Snowflake relationship. We announced a lot of innovation at Summit at the end of June. We have -- we continue to have nearing 1,000 joint customers. We demoed some exciting integration for the manufacturing vertical. So, it feels like we're still in the early days of momentum, but lots of opportunity ahead. Databricks, similar types of integration efforts and not as far along in that partnership just we got a little bit later start there, but still having positive market reaction to the partnership.
Joel Fishbein: Great. Thank you so much.
Operator: Thank you. Our next question is from Brent Bracelin with Piper Sandler. Please proceed with your question.
Hannah Rudoff: Hi, all. This is Hannah Rudoff on for Brent today. Thanks for taking my questions. Just the first one for me is what we saw testing and plans to implement generative AI like in our recent CIO survey. Are you getting any sense that enterprises are putting a hold on new deals or bringing a hold on large renewals as they evaluate this new field?
Mark Anderson: Yes. Hannah, it's Mark here. I'm not getting any sense at all from customers that they're wanting to park our projects. I think it's really the opposite. I think generative AI allows us to be able to get an even more green and even less experienced spreadsheet user and give them tools to be able to be like a data ninja. And generative AI just really helps us do that faster and better with less error. And so lots of examples that Suresh can talk about there.
Suresh Vittal: Yes. And just picking up on Mark's comments there. We found the generative AI technologies that we announced are really a tailwind in adoption. We saw, as I said earlier, with Auto Insights, we saw 35% of our customer base latched on to Magic Documents. We've seen great adoption of our workflow summary capabilities. This is a generative AI powered capability that helps our customers manage documentation and governance and workflow insights. We saw, as we announced the AI work, the generative AI workbench all that enables our customers to build AI-powered workflows and applications. We launched the initial design partner program earlier this month, and we already saw nine out of our 10 largest customers enrolled into the design partner program. So everything we're seeing is a positive adoption of the generative AI capabilities we've been introducing into the market.
Hannah Rudoff: Okay. That's super helpful and good to hear. And then second one for me is for Kevin. I guess what is contemplated in ARR guide down from a renewal perspective? Are you assuming smaller renewals or downgrade? Are you factoring in deal push-outs in the normal renewal cycle?
Kevin Rubin: Yes. Thanks, Hannah. I would say it's a couple of things. So one, we're certainly taking a more conservative posture around any expansion that is not tied to a renewal event in the back half of the year. As we said in the prepared remarks, we actually saw a pretty strong retention and renewal rates as it related to the business in the first half. So we're expecting that the macro continues to be challenging as we've experienced it thus far. But we really took a much more conservative approach to any expansion or upsells that are not attached to a renewal event this year.
Hannah Rudoff: All right, great. Thank you.
Kevin Rubin: Thanks.
Operator: Thank you. Our next question is from Sanjit Singh with Morgan Stanley. Please proceed with your question.
Sanjit Singh: And I want to take maybe just a quick couple of second break on the sort of the macro and some of the sales execution issues and talk about agent a little bit. Mark, from your perspective, like which aspects of the AiDIN platform are sort of more table stakes increases the overall competitiveness of the platform makes you more sticky versus kind of discrete monetization pricing opportunities onto themselves?
Suresh Vittal: I'll take that, Sanjit. This is Suresh. So as we described our AiDIN strategy, we said there's opportunity for us in three big domains, one in helping make everybody a more proactive analyst inside the enterprise by allowing us to help them automate a lot of the road task through generative AI capabilities. You saw evidence of that with some of the announcements we made. Second, we said we could help our customers do more advanced analytics, do generative AI, powered workflows, build analytical applications, and most importantly, trained these generative AI models, large language models using their unique data sets without having the data leave their four walls. We think that's a significant opportunity of bringing large language models, training large language models, deploying them inside the enterprise. That's what our AI work bench was aimed at -- is aimed at. It's why when we launched it early in August, we saw some of our largest customers immediately engaged to the design partner program and start to use it. So that's how we think about the opportunity. We think there's clear opportunity to make every analyst more productive inside the company and help them do more with less using generative AI technologies, but we also see significant opportunity to help them introduce large language models and generative AI, whether they're building chatbots or they're doing other experiences that are powered by generative AI we think there's a fertile opportunity to introduce that into the enterprise with the right degree of governance and compliance.
Sanjit Singh: Understood. I appreciate the thoughts, Suresh. And then on my follow-up question, sort of going back to some of the issues that you saw at the end of June. Mark or Paula, the nature of these expansion deals that are not tied to the renewal, what's sort of the core essence of these deals relative to renewals or renewals plus expansions either in terms of the customer profile or the mix of products? Anything to sort of call out there?
Paula Hansen: Sure. Thank you, Sanjit. So if you think about these are some of our largest customers, we are engaging in multi-department, multi-team enterprise-wide initiatives. And so the demand can come from various different departments across various different time lines. And so when we see opportunity to execute on some demand outside of a renewal cycle within an existing account, we pursue that at that time and customers often engage with us in that way and we've seen that in our past. This quarter, it was unique, where several of those conversations with existing customers around those expansion opportunities in the last couple of weeks. The behavior was just they didn't think the timing was right for their budgets and the deals pushed. It's important to note that we're still actively engaged with all these customers on this demand, on these expansion opportunities. So they're not lost. A lot of them will align with their renewal time line into second half, and others might still continue to build on a stand-alone basis. So it's just the journeys that they're on and the various departments and teams engaged.
Sanjit Singh: I appreciate the thoughts, Paula. Thank you.
Operator: Thank you. Our next question is from Mike Cikos with Needham & Company. Please proceed with your question.
Mike Cikos: Hey, guys. Thanks for taking the questions, here. Just to build off Sanjit's question around those expansion deals independent of a renewal, but I wanted to get a better sense. I think, Kevin, in your prepared remarks, you had cited over 10 large existing customers with six or seven-figure deals. They either came in at 50% below expectations that reduced size you called out versus yield pushing out a quarter. And I just wanted to clean up my understanding there. Can you help us think through the mix between those deals that came in at a smaller size versus the deals that pushed? And I guess, what would be helpful as well. I know this is the second time we're second consecutive quarter, we're talking about deals pushing. Last quarter, we had some disruptions from SCD did all those deals come in during Q2, or some of those still outstanding as well?
Paula Hansen: Sure, Mike, I'll take those. So I would say that, it was about 50-50 in terms of deals that executed at a reduced size from what we expected and those that pushed out. These are large deals, a small number of large deals, and so they move the needle when they're reduced or when they push. Remind me the second part of your question?
Mike Cikos: We had the deals that pushed from Q1, right, related to SCD and the nervousness we've seen in the market at that time. Did most of those deals, if not all of them come in there in Q2, or I'm trying to get a sense of what's the magnitude of these deals getting pushed?
Paula Hansen: Yeah. I think what executed in Q2 against the Q1 deals pushed were consistent with what we see kind of quarter-on-quarter. So, nothing unique about Q1 those Q1 deals.
Mike Cikos: Okay. And then another, if I could. Just thinking about the cost savings that you guys are calling out and the sales enablement. One of the things I'm getting pinged on is with respect to, I guess, a key driver for the profitability is, I guess, some of the scale efficiencies you guys are driving. You're obviously working on execution, pipeline quality conversion rates, but the sales enablement initiatives are actually coming at the same time where you guys have scaled back meaningfully, right? We had the 11% RIF in April. Can you just help us think about how those initiatives are playing out? And I imagine, it's increased workload on those remaining folks in the seat, but anything there would be helpful as far as understanding what's put in place given the reduced support functions around some of those quota carrying reps?
Paula Hansen: Sure. So as you know, we have a lot of quota carrier hiring that happened in the second half of 2022. And so we started the year with more ramped reps. And every quarter, we have more ramped reps. The enablement is an ongoing function for us. We had much of the enablement that we are launching in development and planned. It's sort of a doubling down of the enablement that we've built around coaching salespeople around the expectations of managers around deal scrutiny as well as just revisiting all the elements of our value-driven sales motion. So it's not a huge enablement lift on our supporting functions -- it is a revisiting and an increased focus on these areas of the sales team that is here and executing with us for second half.
Mike Cikos: Got it. Thank you very much, Paula. 
Paula Hansen : Thank you.
Operator: Thank you. Our next question is from Pinjalim Bora with JPMorgan. Please proceed with your question.
Pinjalim Bora : Great. Thank you very much for taking the questions. I wanted to ask you on the customer behavior change that you saw. Was that completely outside of G2K because G2K net expansion seems like still holding on steady. Maybe talk about just the behavior from the G2K base. And then just a follow-up on that, what portion of the G2K MDR today is driven by seat growth versus growth in unit price driven by expanding into other modules or any other pricing leverage?
Paula Hansen : Sure. So the majority of growth within Global 2000 is seat growth followed by product expansion pricing changes will be third to those categories. In terms of the behavior that we saw in the final weeks, I would not say it was unique to G2K or outside of G2K. What was specific about it was that it was customers outside of their renewal time line.
Pinjalim Bora : Understood. Thank you
Paula Hansen : Thank you.
Operator: Thank you. Our next question is from Michael Turits with KeyBanc Capital Markets. Please proceed with your question.
Michael Turits: Thanks. So first of all, what portion of your expansion is typically renewal times versus non-renewal time. And I guess I'm just trying to -- in most of the time, the people have challenges on expansions is just expansion overall, not within outside of the renewal cycle, unless there are other structural issues within the company. So just trying to understand two things. One, just that stat of what the split is usually and what your analysis is of why it would have hit you on the non-renewal portion but been okay on the renewal portion?
Paula Hansen : Yes. So we've seen our renewal base year-on-year continue to shift into the second half. So we have 72% of our renewal base for this year in the second half. So what that meant for first half and for Q2 as we were certainly having conversations with customers outside of the renewal base to have the expansion opportunities come to surface to have them to move forward on those. So really, I think that we still do see a very big growth opportunity of expansion on the renewal base. But to my earlier point, as different departments and teams within an existing customer that may not be on the contract that we're renewing come up with increased demand. We will move forward with the time lines that we think we can execute with the customer. So for in finance, and we're expanding the supply chain, our sales and marketing, those create new expansion opportunities. And in some cases, customers because they're separate buying centers, separate budgets, it's easy for them to execute those independently. And in other cases where they're starting to either centralize the buying or we've risen to the level of becoming a strategic vendor then the customer says, I want to have this as a unified discussion, because I want pricing power, I want less contracts to manage, let's try and negotiate this solid one.
Michael Turits: So, if we're trying to differentiate between what worked and what didn't and understand why it was outside of the renewal side that didn't perhaps it's because it was in the separate buying centers acquired different motion. Is that maybe an analysis of it?
Paula Hansen: Well, I think when customers are budgeting, it's very natural for them to budget for the renewal and their expectation of expansion around that renewal time frame, as opportunities come up before that or outside of that band, sometimes that's a different budget that has to be locked down. So that's, the way I would describe it. It's still very common that analytics is lines of business budgets as well as IT budgets, and my team's responsibility is to land and expand and accelerate that expansion across all of those departments and budgets.
Michael Turits: Okay. Thanks, Paula.
Paula Hansen: Thanks Mike.
Operator: Thank you. There are no further questions at this time. I would like to turn the floor back over to Mark Anderson for any closing comments.
Mark Anderson: Thank you, operator, and I'd like to say thank you again to our customers, partners, shareholders and our team here at Alteryx. This company has an incredible opportunity to reinforce a highly differentiated market position in the era of generative AI. We're delivering on our innovation road map. We're taking quick and decisive steps to improve our sales execution, and we are committed to our targets for improving profitability. Thank you.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.